Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I would like to welcome everyone to the Twilio Fourth Quarter 2022 Earnings Call. [Operator Instructions]. Thank you.  Bryan Vaniman, SVP, Investor Relations, you may begin your conference.
Bryan Vaniman: Thanks, Emma. Good afternoon, everyone, and thank you for joining us for Twilio's fourth quarter 2022 earnings conference call. Our prepared remarks, earnings press release, investor presentation, SEC filings and a replay of today's call can be found on our IR website at investors.twilio.com. Joining me today for Q&A are Jeff Lawson, Co-Founder and CEO; Elena Donio, President of Revenue; Khozema Shipchandler, COO; and Aidan Viggiano, SVP of FP&A. As announced in our Q4 earnings press release, Elena, Khozema and Aidan will be transitioning into their new Twilio roles effective March 1. As a reminder, some of our commentary today will include non-GAAP financial measures and key metrics. Reconciliations between our GAAP and non-GAAP results and further information related to guidance, definitions and key metrics can be found in our earnings press release and the appendix of our prepared remarks, both of which can be found on our IR website.  The information provided and discussed today also will include forward-looking statements, including statements about our future outlook and goals. These forward-looking statements are subject to known and unknown risks, uncertainties, assumptions and other factors that are described in more detail in our most recent periodic reports filed with the SEC, including our most recent report on Form 10-Q and subsequent reports on Form 10-K or Form 10-Q and any amendments to any of the foregoing and are available on our website at sec.gov.  Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. Actual results may vary significantly, and we expressly assume no obligation to update any forward-looking statement except as required by law. With that, I'll hand it over to Jeff for some opening remarks, then we'll open up the call for Q&A.
Jeff Lawson: Thanks, Bryan, and thank you all for joining us today. As you may have seen, we've made a number of significant changes to our business that we believe set Twilio up to perform in both the short, medium and long term. As I mentioned in my prepared remarks, we are confident that this is the right set of actions and the right path forward for our customers, for our teams and that will enable us to create more value for our shareholders. And I'm sure you have questions, so let's hop right into it.
Operator: [Operator Instructions] Your first question comes from the line of Meta Marshall with Morgan Stanley. Your line is now open.
Meta Marshall: Great. Thanks. I appreciate it. Maybe a couple of questions for me. Just maybe to start, I know at the Analyst Day, you guys have talked about a lot of changes that you were making to kind of the data and application sales force and just the driver to growth that, that would be in the future? And just as you have gone through the process of splitting the business units, just where do you think you are on some of those initiatives?  And I guess, kind of as a second question to that, where do you feel like there are synergies or dissynergies from kind of splitting the segments as far as kind of getting customers to go from communications customers to kind of those data and applications customers? Thanks.
Elena Donio: Meta, it's Elena Donio here. Thanks for the question. A couple of things that you hit on there, I'll take them in turn and then pass it over to Jeff who can add a little bit of extra commentary. First question was about the data and applications business and kind of current state of growth and where we're at in terms of that transformation that we've been talking about, let me hit that one first. We've -- I've spoken across the last couple of quarters about investment there and about growth there. We also addressed a little bit of sort of the trajectory as it relates to the beginning of last year and a couple of missteps that we made along the way. We actually feel a lot better about that business and trajectory now. And we believe that this movement in separating our sales forces into these business units more discretely is actually going to further amplify and accelerate that growth. So obviously, revenue growth lags bookings. We feel good about where our Q4 landed across our data and applications business, and we're also confident in that reacceleration. I talked a little bit over the last couple of quarters about the hiring that needed to be done there, the onboarding, the enablement of those new reps.  We feel really good about having built out those teams with the right set of skills and the right capabilities, doing some internal transfers as well as hiring from the outside with the right set of bespoke skills. So, I'm really confident in how that's turning. We've also talked about some macro headwinds. Those continue in a couple of areas, some lengthening of sales cycles, pushing out of decisions and things like that from time to time. But with all of that in mind, we feel really good about the things we can control. We feel really good about the investments that we've made and the trajectory ahead. And we also have really -- we still believe and we shouldn't -- we don't think that this movement across two different business units should say anything different. There is a better together story here. Our products really amplify one another. But what we found is that having very specific sales focus across the unique needs of each of these buyers is a really important one. And we think having moved our segment and Flex teams into separate spaces last year started that momentum building. And now this business unit move is one more step in that direction of focus. I think that hit both of the questions, but I'm going to hand it to Jeff for a little bit more commentary.
Jeff Lawson: Yes. Thanks, Elena. I think your -- the second part of your question was really about like synergies, dissynergies, et cetera. So, I'll tell you how we think about it. Every customer who comes to us for communications, like they actually have a use case in mind for how they're going to engage with their customers, right? They need voice, maybe it's because they need a contact center. They need messaging for identity verification or for customer contact two way. They need to e-mail for a marketing use case, right? There are these finite use cases for the vast majority of the things people use us for, and these use cases kind of cluster together. So, we have this opportunity to ask customers, hey, what are you trying to accomplish? What are you trying to do with our platform? And by the way, have you looked at this other part of our platform that may actually help you achieve that better, faster or even cheaper in some cases.  Our applications create value for customers by entering their need in a more direct way over the communications channels that we then just use to execute the delivery of those messages. And so, I think this is how this space is going to be won over time. It's getting it to why customers are sending these messages and doing these communications with our customers, in addition to powering the messages themselves. So, you might say, Jeff, the two-business unit structure, well, it seems like that makes it harder to actually bring these two worlds together.  And first for us that may [have to be the experience] (ph). But today, let me tell you, what we've learned what didn't work -- let's have everything lumped into one bag of a sales rep. And we've talked about that reason in the past the way I just hit on it, right? So, at this stage, what we're focusing on is the unique needs of the various buyers with specialization there and focus. But we're also going to collaborate and partner utilizing our own data and intelligence to uncover opportunities to incentivize cross-team collaboration and to go understand which of our customers need which of these use cases, and therefore, would be really good customers of our applications and our data stack. But I think it's important to distinguish here -- this is the important part -- between the short and medium term and the medium and long term. Because in the short to medium term, it's clear that we've got work to do to make communications more profitable and to take our data and applications business and execute on the sales model.  But I see these things as foundational, that the current environment is setting the stage for us to do, but we're getting better at using our data to drive these cross-sell conversations both in things like marketing and our automation, but also in our sales conversations. And then over time, we build more and more product connectivity between these various products.  And it's obvious, how with better customer data in terms of segment, we can power smarter, better, more effective communications, and that drives more usage of our platform. And so, I think that's how the synergies play out. But you do have to look at it short to medium term, medium to long term.
Meta Marshall: Great. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Mark Murphy with JPMorgan. Your line is now open.
Mark Murphy: Hi, thank you so much and congratulations to all the new folks who have been promoted. My first question is regarding the $250 million to $350 million non-GAAP operating profit that you expect this year. Should we assume that all of that is being generated by the Communications business? Or perhaps more than 100% of that, if we were to assume that the data and applications business is unprofitable this year?
Khozema Shipchandler: Hi, Mark, this is Khozema. I'll take that question. It's really the latter part of what you said. It's more than 100%, and that's kind of intentional on our part. We do think that we can be very efficient in the way that we bring the communications business to market and that it can throw off a lot of profitability, while at the same time, the data and applications business, they're in the middle of an investment cycle, and we're early stages in that.  And so, we do think it's appropriate so long as we're making judicious investments to be able to grow the top line of that business. It's also gross margin accretive, which we think is important longer term. But it is going to take some losses in the short term, which will work themselves out over time.
Mark Murphy: Okay. Understood. And then as a follow-up, I looked at the prepared remarks and it says that some of the macro headwinds that you had mentioned still persist. So, I'm wondering if you could just clarify whether the buyer behavior feels any better out there. I mean in terms of the bookings cadence in recent months? Or would you say that, that is still continuing to degrade somehow?
Elena Donio: It's Elena. I'll take that one. I would say those factors persist. I wouldn't say it's all been flushed out of the system. But I think we're also getting better at navigating it. So, we did -- we are comfortable with where our Q4 bookings landed in our data and application space. And we're -- we think our products actually play a vital role in tough economic times.  And so, we're sort of navigating that headwind in the field as best we can. We've updated our messaging. We're making sure that we're very clear about why allocating budget to these kinds of products, at this time, in particular, is vital and important. And we think that message is landing. But definitely, economically, I don't think we're out of the woods yet. I'll hand it to Kho for more commentary.
Khozema Shipchandler: Mark, just one other thing I wanted to add is that importantly, we do intend to drive profitability through whatever the cycle ends up being. We provided a relatively large range on the non-GAAP operating profit in light of the current macro conditions, which are pretty dynamic, but we do think we can be profitable through whatever the cycle is, and we intend to be.
Mark Murphy: Thank you, very much.
Operator: Your next question comes from the line of Michael Turrin with Wells Fargo. Your line is now open.
Michael Turrin: Good afternoon. Thanks for taking my question. I guess just a follow-on on the operating income guide because it certainly stands out just relative to what was expected. Can we just -- I know you're guiding specifically for operating income, but just anything you can add on what would get you to $250 million versus $350 million? And how to think about just gross margin in the context of that conversation relative to the potential growth outcomes that would drive the delta potentially?
Khozema Shipchandler: Yes, a lot there, Michael. So, let me just try to unpack it a little bit. So, in terms of, I think the way that we planned for it, is that irrespective of kind of the gross margin outcomes, we're going to be able to deliver operating profitability within that range. I think the difference will be basically that if revenue kind of performs in line or kind of within a range of our expectations, then we'll be at the higher end of the range.  And if it doesn't, then we'll kind of be at the lower end of the range. Given how dynamic the macro is, we did want to provide a little bit of a cushion. We wanted to kind of plan and run the place a bit more conservatively in light of things that we've seen. Certainly, a lot of companies have reported similar. But irrespective, we'll be profitable, but that's kind of the color behind why that range. In terms of gross margins, as I said, I don't think that they'll really have an impact on the way that this plays out. We're really trying to orient the business much more towards gross profit generation. We talked a little bit about that during our Investor Day. So long as the unit economics are good, especially in the Communications business, they're already very strong on the data and applications business, then we're going to keep seeking gross profit dollars I think a key difference being going forward that those gross profit dollars will drive incremental op profit dollars.
Michael Turrin: Very helpful. It's a substantial answer to a substantial question. Just a quick follow-up, if I may. On the expansion rates, we're seeing compression in a number of different vendors across software. Can you just walk through what's driving the expansion rate headwinds you're seeing currently and how that informs the 1Q guide? Thank you.
Khozema Shipchandler: Yes. I think the expansion rate basically kind of follows some of the revenue growth rate decel that you've seen. One of the things about our business is that as macroeconomic factors kind of take the economy and other businesses down, given the usage-based nature of our business, we tend to feel those a little bit more acutely.  Kind of in the same way that we felt them a bit more acutely on the way up, right? If you kind of go back a couple of cycles or even the most recent cycle to COVID, like we turn up very, very quickly as different macro factors kind of pulled markets up. And so, I think we're starting to see that come down a little bit. In terms of the Q1 guide, I mean, we still feel quite good about our ability to generate revenue growth in spite of a very difficult macroeconomic environment on a year-on-year basis, and we'll just continue to monitor it.
Michael Turrin: Thank you.
Operator: Your next question comes from the line of Ittai Kidron with Oppenheimer. Your line is now open.
Paramveer Singh: This is Param Singh on for Ittai Kidron. So firstly, I want to understand what are the areas within communications you were able to cut back on overhead? Was it because of excessive hiring in '21? And how much of that cutback are, you would say, some international, which has a significantly lower gross margin profile?
Khozema Shipchandler: I don't think we entirely heard your question. So, I'm just going to try to play it back for a second. What I understood the question is being that in what areas were we able to cut back in the communications business? And what proportion of that was international relative to other markets? Is that right?
Paramveer Singh: Yes. That was the general crux of it, but I also wanted to understand like was -- is this because you over-hired in '21 in communications that you're getting back to more normalized pull, or are there other areas of streamlining a communications business that were previously not identified? So, I just wanted to understand some of the dynamics behind the restructuring that we announced in the past since September?
Khozema Shipchandler: Yes. I mean I guess what I would say is that there's a couple of parts to it. So, if you go back to the fall and the restructuring that we did at that time, I would call that like kind of more cost cutting. Obviously, it had the unfortunate impact of us having to part ways with about 11% of our workforce at the time. And that obviously is something that we feel bad about, but that was more kind of in the cost-cutting vein.  And I would say this time around, it was more a restructuring around two different businesses that we think can drive better outcomes, both for our customers as well as our share owners just given the different buying cycles that have economic aspects of the two different businesses. In terms of where the costs came from, I would say it was pretty much across the board. Like I wouldn't necessarily point out that it was heavier international necessarily relative to the way that it played out domestically. A lot of our roles are kind of global facing. Certainly, once you get out of go-to-market, the rules are very global facing, especially in engineering and G&A. So, I wouldn't say that we pulled more out of international than in any other kind of region. One of the things to point out in international, in particular, is that -- and we talked about this at our last Investor Day, the unit economics of that business are actually quite strong. And so, we want to continue growing in international markets so long as those unit economics are good. And we're going to continue pursuing business in that way. But that hopefully gives you a little bit of color in terms of the costs that we try to take out this time.
Paramveer Singh: Absolutely. Thank you for that. And then if I could really quick. I want to understand the level of investments you're making in software, considering this past quarter is only 22% growth and [full Q4] (ph) 1 million or the like. So, I just want to understand the impact of your operating headwind that you're going to have in the near term while you build this business to hopefully $1 billion-plus business.
Khozema Shipchandler: Yes. I mean, we're not going to break out that number specifically. What we did do is say in our prepared remarks that we're guiding in the current year to about $250 million to $350 million of non-GAAP operating profit.  Offsetting that or included in that number is about $150 million of incremental OpEx. And there's two dimensions of that, that we specifically broke out. One was an increase in the way that we're going to compensate employee’s vis-a-vis bonuses to help us offset some stock-based compensation headwinds that we've seen over the last few years that would otherwise continue.  And then the balance of that will really be predominantly investments in Segment and Flex. We think those are smart investments because we think those can accelerate the growth of those products. And then there's a little bit of other stuff in there as well, but we're not going to break out that number specifically.
Paramveer Singh: Thank you, so much.
Operator: Your next question comes from the line of Taylor McGinnis with UBS. Your line is now open.
Taylor McGinnis: Hi. Thanks, so much for taking my question. So, lots of great incremental color on the call. But one area that you didn't discuss was the 15% to 25% revenue outlook you provided at the Analyst Day. I would imagine here, given some of the changes that, that outlook might be a little bit stale. But any color you could provide on how you're thinking about the revenue potential now? And then as a second part to that question, just looking at the 1Q guide, could you maybe talk a little bit more about what's embedded in that rev guide? And particularly how it might relate to some of the changes you made in any risk of disruption?
Khozema Shipchandler: Taylor, this is Khozema. I'll take that question. So, the 15% to 25% is really a medium-term guide. We both provided a revenue guide on the overall business of 15% to 25% in the medium term, which we labeled as three to five years during our Investor Day as well as 30% plus in the software business. And those aren't changed. Beyond that, what we have said a few times now is that just given the dynamicism in the macro environment, that we're going to continue guiding quarter-to-quarter on the top line for now until we see the macroeconomic picture kind of clear up.  We haven't seen that play out really. In fact, we've seen it kind of get a little bit more rocky over the last couple of months. And so, we just want to be smart about the way that we guide things. I think that the 14% to 15% that we called out in Q1 is kind of reflective of that. It is a tougher macroeconomic environment. I think in spite of that, we're going to be able to put up pretty good growth numbers on a year-on-year basis. But I think its basically macro signals that we're seeing that are kind of making us think about the business in light of a number of different things that could play out, and it just seems prudent to us to kind of plan and run the business conservatively in light of that.
Taylor McGinnis: And then my last quick follow-up is I appreciate that you're talking near term about EBIT dollars and gross profit dollars and putting the focus there. But just as we think about the guide, that's -- the medium-term operating margin guide is on a percentage basis. So, can you just talk about what gives you comfort in that 300 to 400 medium-term outlook that you provided?
Khozema Shipchandler: Yes. I mean, I guess the way that I would say it is, is that you got a couple of factors in the mix. So, first is that we gave you $250 million to $350 million in the current year. That gives you some sense of kind of how we're anchoring 2023 to give us a base off of which to grow.  As we look out over the next several years, we're obviously taking into account our medium-term revenue guide with some appreciation in software, given that we've called that at 30% plus. And so, if you kind of run the math out over the next several years and assume a few different things around gross margins and the gross profit dollars that each of those two businesses will kick out, that kind of gives us a sense of how profitable a business that this can become.  And then I think some discipline on the OpEx side, which I think we've shown over the last couple of periods and certainly the most recent actions, really give us a sense of just how simplified and efficient we can run the business, that kind of gives us the confidence to say, as we look out, we can drive additional op margin accretion, which ultimately will yield GAAP profitability in 2027.
Taylor McGinnis: Thank you, so much.
Operator: Your next question comes from the line of Nick Altmann with Scotiabank. Your line is now open.
Nick Altmann: Great. Thanks guys. Just a follow-up on the prior question. Just given how significant of a level of the restructuring you guys have done and you look at sort of the 1Q guide, how much of the headwind to growth is coming from the restructuring and having less quota-carrying reps versus some of these macro factors and the shift of focus to data and applications?
Khozema Shipchandler: Yes. Nick, this is Khozema. I'll take that one. Not much, to be honest. I mean, the reality is, is that in the short term, there may be some impact, so I don't want to suggest that they're going to be zero. But I think, by and large, the Q1 guide is not informed by some of the restructuring actions, either that we undertook in the last half of last year nor the ones that we took just a few days ago.  The revenue model and the way that the bookings play out, it takes a little bit of time for things to catch up. Again, as I said, I'm not going to say that it's going to be zero. But as we kind of put our planning assumptions together, we felt pretty good about the way that we guided in Q1. And took whatever impacts there may have been into account.
Jeff Lawson: I'm going to add one bit of context to that, if you will. So, this is Jeff. I want to underscore something that was said earlier that I think bears repeating, which is that we have a usage-based pricing model. And in a usage-based pricing model, we see an accelerated headwind in a macro environment like this. And I think that's what you're seeing in our recent results and in our guidance. What we're not seeing, though, is a real change in, for example, our competitive situation, right? I think what you're seeing is a representation of just consumer activity and the general economic activity being slightly muted during this period of time.  But I think this also can play to our strength as you see economic recovery occur because that can be an accelerated tailwind for us as well. And that's also the nature of a usage-based pricing model. And as we mentioned earlier, like we saw in the early days of the pandemic when people were using our product for many new use cases. And so, I think we are an accelerated view into the macro economy based on the usage-based model. And as we do move towards the economic recovery, I think you'll see a company that is in a really good position because we are more streamlined. We are more focused. And we've got a great customer base to enable us to see the tailwind from that recovery, including the business model.  And I just think it's worth again pointing out the nature of the usage model, which is, generally speaking, a great benefit to us during these times, feels like a little bit of a headwind for us. But I think in the long term, it's still the right model.
Nick Altmann: Great. And then just as a follow-up. Earlier, you had said that the $250 million to $350 million operating profit outlook does not embed any gross margin expansion on the communications side of the business. But now that you're sort of managing the business in two separate units, can you maybe just walk us through the margin implications for the communications side?  I mean, would you guys ever sort of disclose that business unit as a separate entity in reporting? Do you have plans to pay a little bit more attention to the gross margin profile there and maybe be a little bit more disciplined on discounting on that part of the business?
Khozema Shipchandler: Yes. I mean, so there's a couple of things that you said in there. So, in terms -- let me just take the latter part first, and then I'll come back to the first part of the question. So, we actually are pretty disciplined already in the way that we price the product. And so, I feel quite good about the way that the pricing mechanisms work.  The unit economics are very strong, whether they're domestic or international, and we tend to be priced higher than the other guys. And as Jeff said a moment ago, we're not losing share. And so, we feel very, very good about the way that the product is priced and more importantly, about the value that our customers get from the product. In terms of disclosures, which I think is kind of the other aspect of your question, what we committed during our Investor Day is that we provide additional transparency in terms of what we're now calling communications and then our data and applications businesses. And we're going to continue doing that as we have in the current quarter.  And I think one of the things that we're going to work through over the next few quarters is just to develop a little bit more robust reporting as we operationalize the business units. And we expect that, that probably will lead to additional disclosure over time.
Operator: Your next question comes from the line of Fred Havemeyer with Macquarie Capital. Your line is now open.
Frederick Havemeyer: Hi, thank you. A question perhaps for Jeff and for Khozema. Firstly, it's great to see and hear that you are returning to the north star in communications of the product-led growth story there. I wanted to ask, with that -- with that shift in the emphasis of a sales-led motion back towards more product-led growth, should we anticipate any sort of change in, say, quarterly cadence of revenue within the Communications segment relative to what we've seen in prior years? And I suppose also in that context, since you're guiding fiscal '23 on non-GAAP operating profitability, should we be thinking revenue of revenue at this point as less of a kind of a key metric for the company and something that will ultimately just be driving your operating margin outlook or rather operating profitability outlook?
Jeff Lawson: Fred, this is Jeff. I'll take the first part of your question, and then I'll hand it to Kho for the second half of your question. For the first part, if I understand the question, I think you're asking like how will it affect revenue given that we're moving to more of a product-led growth strategy.  And I would say, look, the goal -- once we win a customer, a lot of the growth in the account comes from their growth in the market of taking something they built from prototype that they're testing to a beta when they test out the idea to rolling it out to the entire customer base and then the growth of their business and their customer base.  And so really, it's about getting that kind of design win. And that's where developers are often very influential in the life cycle of adopting some of these communications products. And so, by moving back towards more product-led growth, what I think you're seeing is we're going to be investing in the things that make those developers and the companies that are in the early stages of adopting Twilio really successful in onboarding.  And I think we see a lot of opportunities to go streamline the product, make it easier to get up and running, but also to scale these products as customers scale globally. And the product can do a lot more heavy lifting in areas where I think we've relied on people to actually help our customers over the line in recent periods. And you're right, this is a return to the roots of Twilio, which is to make the product enable our customers to find success quickly and easily with a really powerful product.  And so that's what we're focused on. So, I think it will help us enable bringing on new customers as well as continuing to scale our existing customers in a way that customers will actually appreciate because it's going to be easier and faster for them to do so. So, for the second part of your question, I'll hand it to Kho.
Khozema Shipchandler: Fred, in terms of the second part of the question, I guess the way that I would think about it is just maybe take a step back and then I'll drill down for a second, is that one of the things that we thought a lot about as a company and as a management team is, is that we've become a really big business, but we also want to become a really profitable business.  And so, paired with becoming a large revenue generator, we also wanted to make sure that, that revenue threw off a lot of profit. And so that's why you've seen some of the restructuring that we've done into these two business units. We do think we have an opportunity to better focus in that way and generate a lot more profitability, for example, in the communications business while fueling what we believe can be a tremendous amount of future growth in the Data and Applications business. With that said, we certainly haven't given up on growth in the communications business. We still think there's a ton more growth for us to go get. What's fortunate for us is that we're operating in end markets that are still growing at very, very rapid rates.  Our share is maintaining. And if anything, the pie is growing. And so that kind of bodes well in terms of a great growth setup going forward. We're still underpenetrated, I would say, internationally, and so that's a real opportunity. And then I think on the Data and Applications business, really, for us, the sky's a limit. We see a lot more growth opportunity there.  As Jeff and Elena have both said during the course of this conversation, we think that our data capabilities pair really well with our communications capabilities, too. And so, we think that will yield some additional growth, too. So, profit will certainly be a key feature as part of these calls. We want to give folks a sense of confidence that we do see line of sight to GAAP profitability, but please don't confuse that with any lack of focus on the growth side.
Frederick Havemeyer: And then just quickly for Elena. As you're thinking as you're looking at the portfolio of apps on Twilio, where are you thinking about really prioritizing your investments into the software and services in the platform?
Elena Donio: I think we're not going to obviously break that out in a lot of detail. But what I will tell you is that our Flex product is just at a different stage of play than our Segment product. So, it's got -- there are fewer resources behind it, fewer sales reps behind it, et cetera. But we both see a ton of green build. We see had a great build opportunity across both of those solutions. Segment is creating connectivity to our comms platform through our Engage product. We think that product actually will ultimately fuel Flex as well as we utilize our data capabilities to power better engagement through Flex.  And so, we actually see them -- some real opportunity to bring them together and for them to be better together as well as fuel our communications business and vice versa. So, we think they're all equally important in our portfolio, but the Segment business is sort of just at a different stage of play. So, it's got a little more girth and half to it than the Flex business does, but the Flex business is growing in a healthy clip as well.
Frederick Havemeyer: Thank you.
Operator: Your next question comes from the line of Siti Panigrahi with Mizuho. Your line is now open.
Unidentified Analyst: This is Phil on for Siti. I just want to touch on the last question. So, for Flex, I know it's one of your key strategic priorities. How is it performing in this environment? And what sort of changes can you guys make to increase share in the CCaaS market? And also, what kind of traction are you guys seeing on the Engage platform?
Elena Donio: I'll take that, and I'll do it in reverse order. So just as a reminder, engage went general availability in Q4. So just a couple of months ago. And we're excited about the trajectory that we're seeing there. We've got a couple of dozen new customers deploying a lot of really new and interesting use cases on Engage and throwing through new e-mails and new SMS messages all as part of that.  And so -- and we've also talked about a couple of those customer wins in the back part of our prepared comments. There are a couple of others that we haven't been able to share directly, but we're pretty excited about in terms of their utilization of Engage and Segment, both from a renewal’s perspective as well as a good chunk of net news that we're excited to bring live over the next couple of months. So strong performance there with Engage. And we think real opportunity going forward. Flex had good performance in Q4 as well. And as I mentioned in prior calls, we're in the process of building out these specialized sales forces doing a fair amount of hiring enablement onboarding. And as we see our sales reps coming online, getting out into the market, and beating the competition head to head in these deals, we just -- our optimism is growing for how that product will perform in the space. Just to kind of cap it off with a word on the competition. We're not seeing new competition, and we're not necessarily seeing loss rates that are bothersome in any way. This is a matter of sort of getting out there into the greenfield opportunity, embracing it, making sure we've got the right marketing messages, campaigns, fleet generation programs, and then bringing those deals through to close.  So good momentum beginning to kick in as we see these new AEs coming online, and looking forward to sort of how that plays out here in 2023.
Operator: Your next question comes from the line of Alex Zukin with Wolfe Research. Your line is now open.
Alex Zukin: Thanks for taking my question. And honestly, congrats on one of the best, I would say, presentations, thus far, that we've seen from the company in many quarters on multiple fronts, including the buyback. I guess the first question is, maybe I missed this or I missed it in the letter, but can you maybe just go a little bit deeper into the headwinds that you saw on growth on both the communications side and the application side in Q4? Maybe also commenting on the linearity of the business in the quarter and what you're seeing into Q1 both the headwinds, I guess, but also the tailwinds to the point of how well -- how well you can be in both markets that are up and down?
Khozema Shipchandler: Alex, this is Khozema. I'll take the question. And then if you have other color you'd like, Elena can certainly chime in as well. So, I guess what I would say is that I'll just kind of echo something that Jeff said earlier, which is that, number one, we're not losing share. And so that gives us a lot of confidence that the business is headed in the right direction.  Number two, we're just seeing a lot of dynamism in the macro environment. And as our business is usage based, in large part, certainly on the communication side, we start to feel those effects much sooner than many others do because we're kind of a leading indicator in some ways, both on the way down as well as on the way up. And so, you saw a little bit of that, obviously, in our expansion rate and you're seeing a little bit of that as well in our reported Q4 results as well as the way that we're guiding in Q1. In terms of some of the headwinds, it's -- there's nothing beyond really kind of the things that we called out previously. I mean, I would point to general macro which is a very broad category.  But some of the stuff that we called out previously is crypto and social and e-com, retail. All of those industries, as you know, have been impacted pretty significantly. And you see that in various earnings reports. You see that in the news cycle.  And so, we're just kind of caught up in the same. And I think what's important for us is that we play through that we continue to grow through whatever the environment is, and importantly, that we generate profitability in spite of whatever that macroeconomic environment is. So that's the way that I would really characterize it. I don't know, Elena, if there's anything else that you would add.
Elena Donio: I think that's good. I don't have anything to add.
Alex Zukin: And I guess just maybe following up from that. So, if we look forward from here, I know I always ask the question about net retention. But if I think about that one, 10 number and I think about the progression through the year, when you start to anniversary some of those negative effects, and to Jeff's earlier point, on the way up the consumption model can be -- or the usage model can be really good, if you think about the linearity of the year, understanding that you're not guiding, how should we think about that progression? Or how are you thinking about it internally? Is it a back half normalization stabilization of that retention rate? Is it something that shifts to more net new? What's the right way to categorize it?
Khozema Shipchandler: Alex, I wish I did know, I don't. I think that we're planning conservatively basically, given the macro. I think it's just a really dynamic environment. And so, we're not necessarily forecasting an uptick per se. Could it be better? Maybe. I think we're all sort of hoping it's going to be, but we can't plan for that.  And so, we're going to plan for it kind of playing out the way that it has been maybe the last few months, last few quarters and kind of hope that it gets better. Obviously, our field teams are going to win like whatever the business they can. They're going to try to grow share in every way that we can off of our existing base.  We're going to keep growing with the accounts that we have. But how that plays out in terms of DB&E, I just don't know. And as you know, like it's not something that we've historically forecasted to.  All I'd say is that as the economy picks back up, our business will definitely pick back up, and we're certainly looking forward to the time that, that happens. By the way, I also appreciate your comments at the start of your question. Thank you.
Alex Zukin: Thank you, guys. Congrats again.
Operator: Your next question comes from the line of Derrick Wood with Cowen. Your line is now open.
Derrick Wood: Great. Thanks guys. As you look at driving more efficiency in the business, can you talk about how partners are going to play a role and maybe what you're doing to drive more partner leverage, especially in light of shifting to a two-business unit strategy?
Elena Donio: Derrick, it's Elena. I'll take that one. We think partners play a vital role. They are helpful in bringing in some of the flagship customers. You heard us talk about both this quarter and over the last couple of quarters. We put them in a couple of different camps.  There's implementation partners that also could be reseller or referral partners. And then there's also just straight up referral partners that might have a piece of technology that works together well with one or more of our products. And so, we are in the process of actually creating sort of bespoke partner acquisition, partner enablement and partner co-selling teams across our new sort of business unit structure. We think that will create a lot more focus on the opportunity there. And we're not going to sort of break out exactly what that trajectory looks like. But we do believe that partnership will play an important and growing importantly role in our growth and new bookings, both across the data and applications business as well as across the comms business.
Derrick Wood: Got it. Great. Maybe a follow-up for you, Elena, as well on Segment. Just wondering how the progression of growth trended over the year. You guys obviously had a lot of organizational change. Just was hoping to get a comment on that. And then as you look at kind of how Q4 ended and going into Q1, what end market demand looks like for CDP investments in this macro condition?
Elena Donio: Yes. Thanks, Derrick. And I think even the way you phrased the question is right. Into the beginning of last year is when we had some stumbling, lost a fair amount of key talent and then began to rebuild. That was a huge priority of mine when I came online in May. And we've worked to sort of execute through that hard time.  And I think really, finally, you started to get our legs under us again in Q4 with a couple of really great customer wins. They're listed in the documents from us, but JPMorgan Chase was a fantastic win across multiple business units and with Engage and Segment, Box and a couple of others.  We had some great new seven figure consumer brand wins as well that we look forward to bringing live. So excited about the trajectory. A lot more work to do. As I mentioned, these AEs, or account execs, are still coming online and getting their own legs under them, but we're excited about the trajectory. I think the CDP space is still in early innings, but I think also the important thing to note is sort of where we take it from here. So, we think the data in the CDP can create amazing power across our applications. And then we also think what we're building in terms of orchestration with Engage, also in terms of connectivity to our communications platform as well as to Flex really just create such an incredibly powerful set of capabilities for our customers but also competitive differentiation.  So, it's a matter of getting people to part with precious budgets right now. We feel like we've got a great message there. We feel like we really do create lift for brands, particularly in a time like this when it's really important to be super surgical about how they spend every single one of their marketing dollars.  But when ad spend and marketing spend are impacted and are strained, people just want to spend a little bit more time in the sales cycle, a little bit more time making sure that it's exactly what they want. But we also know when we get to proof of concept, we tend to win. And so that's really what we're focused on is making sure we get into the game and get those deals closed over time. So, I wish I had a crystal ball on the macro environment, but we play through, and we think we do well in that context.
Jeff Lawson: This is Jeff. I'll add one other thing. I'll just point out one other thing. If you noticed, we tweaked a lot of our messaging at SIGNAL last year for the buyers of this market, right? We said, look, this is about acquiring customers more efficiently and then increasing your lifetime value, your revenue with those customers. And so that really is a targeted message based on how our products are relevant in this period of time.  And I think you see some of the results that we put out, both in terms of JPMorgan adopting Engage Box, who is a long-time Segment customer moving into Engage, but also a leading e-commerce company that they adopted us in order to improve their ad spend. I mean these are really good examples from our customers that we could talk about in our prepared remarks of exactly what we see going on in the market.
Operator: Your next question comes from the line of Rishi Jaluria with RBC. Your line is now open.
Rishi Jaluria: Wonderful. Thanks for taking my question. Two from my end. First, I want to continue talking about Segment. Maybe this is one for Elena. As we think about the core communications side kind of returning to its PLG routes, how should we be thinking about the kind of evolution of segment go-to-market, especially considering the CDP market is a little bit more evangelical, it is a little bit more greenfield. And maybe alongside that, as we think about potential larger vendors trying to get into this space in a big way, be it Salesforce with its own offering in T&E or Adobe, what's kind of the plan to maintain Segment's market leadership as the larger software companies try to get into the space? And then I've got a follow-up.
Elena Donio: Thanks, Rishi. This is a strategic sales motion, getting in, getting the product introduced, getting customers using it in proof of concept and things like that. And so, we have really focused our attention on just building fantastic enterprise sales capability and blanketing the market with our message and getting in there and helping customers through sort of putting their dreams into action in the product as we show them our capabilities and turn them into paying happy customers.  And so, while there's definitely more we can do in terms of demos and the sort of the developer message, this really is an enterprise sales motion, and we're investing in that accordingly. And we think the price tag obviously accommodates that as well. So that said, the connectivity across our -- the rest of our products is a real opportunity for lift. And so, finding examples within our Communications business, where the data can be useful and where then we can turn around and through the orchestration of engage, push communications back out, I think everything ultimately becomes better together.  And the developer as a discoverer of those communications channels sort of opens that door for us on the communications side. And then I think we get to go back in from the Segment and Engage side as well. Second part of what you talked about was the big competition, and we're certainly aware of the moves of our big competitors. But we love our chances that we have the better product.  We have 100% sort of focus on the very specific and bespoke things we do in the CDP space and in the customer engagement platform space. And we think we continue to stay ahead from a capabilities perspective and just we'll continue to invest in the product to make sure that we stay ahead. The work for us is going to be to make sure that we're competing every single time one of those decisions is made, and we're orienting ourselves to do just that.
Rishi Jaluria: Got it. That's really helpful. And then just a quick financial one for Khozema. Look, I appreciate the longer-term guidance and commitment to GAAP profitability. If I just kind of think about looking out and it's hard to predict two quarters out, let alone five years out, but maybe let's try or sort of talk about GAAP profitability in 2027 as well as bringing down your SBC to 10% to 12% of revenue. I mean, that just implies that your non-GAAP operating margins though in 2027, as you pivot more toward profitable growth and presumably reach a substantially larger scale, that your non-GAAP margins would be in that 10% to 12% range.  And maybe just given all of the kind of areas of focus, that seems like it's maybe a little bit low as a target to reach for. Can you maybe walk me through kind of the thought process here? And maybe where I may be wrong in my thinking on the long-term framework? Thank you.
Khozema Shipchandler: Rishi, thanks for the question. So, I think just one edit to what you said, and I don't know if you misspoke or not, but I think what you said towards the end was that our long-term framework was 10% to 12% op margins, and that's actually not the case.  So, the way that, I guess, we're thinking about it is that there's the 250 to 350 in the current year, you can kind of run the math on what the implied might be based on our Q1 guide. Obviously, we're not guiding quarter-to-quarter right now, or we are getting quarter to quarter. We're not guiding for the year just given how dynamic it is post that, we see 300 to 400 bps per year.  And I guess the way that we think about it is, is that if you stretch it out over those -- that five year period is that, number one, we get to something that probably looks like if we can execute well and at the upper end, 20% plus, one; two, that if we can get to the 10% to 12% that I talked about that we disclosed in the remarks on the SBC side, which we feel pretty good about, just given some of the changes that we've made in terms of compensation and moving more from stock-based to cash-based.  And then three, I think that the net of those two, obviously, yields some GAAP profitability overall as well. So that's kind of the math that we're doing. I mean, could it be better? Perhaps. But that's certainly not something five years out that I would want to commit to. We feel good about the setup. Certainly, in the current year, we -- if we execute, we can be on the higher end of that. If revenue is tough, we'll be at the lower end, but all the same will be very profitable in 2023. And then over multiple years out, we see really strong op margin accretion, which we think is a good signal. And then being GAAP profitable is really the name of the game, obviously. And our ability to control SBC is going to be the principal lever and we know how to do that.
Operator: Your next question comes from the line of Will Power with Baird. Your line is now open.
William Power: Okay. Great. A couple of questions. Let me start, I guess, on the Communications segment. I'm just trying to think through go-to-market and potential impacts to growth there. I think you suggested earlier you didn't expect limited growth, but a little bit of an impact. I'm just trying to understand, just given the magnitude of the changes taking place there, how you get comfort that there's not a more meaningful impact to revenue growth? And any framework you could maybe provide around what you expect for growth in that Communications segment, whether this year or next couple of years?
Elena Donio: I'll take that. In my -- in the capacity of my prior role, just covering go-to-market, very large, it's Elena here, and then Khozema can jump in if you've got anything else to add. So, I understand the point. We obviously did a substantive cost cut here. And I think the important -- there's a couple of important things to think about. And that we've sort of started to talk about over the last couple of quarters. It was really important to us to begin to demand more of our products, more of our tooling and more of our process as we think about the right go-to-market model for communications. And so, we believe there's a lot of efficiency to be gained there. We're making progress against all three of those dimensions now and plan to even make more improvement in how we create efficiency across the team going forward by increasing our capabilities in product like growth and in self-service. I think when you actually really sort of peel the layers back in how we were servicing our customers historically, we had a number of people involved in any kind of -- in any sort of customer experience. And we believe we were a bit over levered there. And that when you kind of get underneath where our efficiency was great and where it wasn't, we think we can provide those fantastic customer experiences and really benefit from our customers' usage of Twilio without having people involved at every stage of the process and really reserving that human capital for the times when our customers really and truly need us.  And that's when they're making a decision when they're deciding whether they turn left or right with their use cases and when they're struggling with something with solving a problem. And so that's really where we want to apply that human capacity and capability. And we're not going to let go with that. We will still be there for our customers when they need us. But as it relates to sort of new customer acquisition, that's also more human-capital intensive at times. When it's big customers making -- running big loads on Twilio, we'll be there for those customers as well. But there was a lot of space where we have begun to see that our efficiency was degrading as we added large numbers of talented individuals over the last number of years.  So, we just don't feel like that's necessary for us to continue the growth trajectory given our penetration in the space, given how our tooling and products are coming along and given what we believe that we could do with the human capital we have around keeping our customers satisfied.
William Power: Okay. And then maybe, Elena, just to follow up with you. I mean, I guess shifting over to your new primary focus -- congratulations on that, by the way -- and thinking about applications and software. Can you maybe just remind us, as you think about Flex and Segment, what are the synergies there might be on go-to-market? I know you've got some specialized folks you're hiring probably for each of those segments. But just trying to think through the synergies and differences and kind of how you balance that with those two different products?
Elena Donio: Yes, for sure. We really see sort of the best uses of Flex being where a customer is running a digital contact center where engagement is key. We've got some great use cases of customers using Flex where they're actually in selling environment, not just service or support environment.  And so, we believe there's a really interesting synergy in tie with Segment, where the data will actually create incremental efficacy in those interactions that are happening in Flex, and we're beginning to lay that track now. We expect to see some of that capability here actually in 2023. But I want us to lay that track first before we begin to think about this as sort of one product or one set of use cases. They are pretty different today. And so, we're going to keep those sales organizations really specifically focused on those unique customers, those unique buying patterns, what those customers need from us. But we will be working on adding some of the benefits of Segment into Flex, and we expect to see some of that this year.
William Power: Thank you.
Operator: Your next question comes from the line of Pat Walravens with JMP. Your line is now open.
Patrick Walravens: Great. Thank you. And congratulations on all the progress. Jeff, this is a very big picture. But Twilio has this unusual situation where you have a dual class of stock that collapses to a single class seven years after the IPO. So, in June. And as the founder, I would just love to hear your thoughts and sort of the history on why you guys originally structured it that way. And now that we've hit the milestone, how do you feel about the decision and how things might be going forward?
Jeff Lawson: Yes. Thanks, Pat. I mean, look, all along, we run this business as owners and for the benefit of all of our shareholders. And we're focused on driving attractive growth, lowering OpEx, increasing profitability. And we've extensively engaged with our shareholders over the last several months and over the whole time we've been public. Help inform the actions that we take as management in terms of balancing growth, balancing our customers' needs, our employees' needs, our shareholders' needs. And our goal is to create value for our shareholders, and we believe the strategy that we're executing is going to do that. And when I think about it from the perspective of a newly public company, when we put this in place just prior to our IPO, I think the idea is for a young company to get its feet as a public company.  And that's why we thought of it with an expiration that was seven years in the future. Now at that time, that felt like a long ways off. And here we are. And so, I think that it did its job to get us on our footing as a public company. During that whole time, we're able to listen to our shareholders. We're able to make decisions as a young public company. And now having the benefit of seven years in the public market, that will come off. And the scheduled expiration of our dual class really doesn't change any of that -- any of those ways in which we've run the company. And so that's how I think about it as a founder, as a CEO and as a fiduciary of the company.
Patrick Walravens: Got it. Very helpful. Thank you.
Operator: This concludes our Q&A for this portion of today. I turn the call back to the speakers for any closing remarks.
Bryan Vaniman: Thank you all for joining us today, and we will speak again soon.
Operator: Thank you for attending. You may now disconnect.